Operator: Good day ladies and gentlemen and welcome to the Fourth Quarter 2013 American Assets Trust Earnings Conference Call. My name is Damini and I will be your operator for today. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. (Operator Instructions). I would now like to turn the conference over to Mr. Adam Wyll, Senior Vice President and General Counsel. Please proceed sir.
Adam Wyll: Good morning I would like to thank everyone for joining us today for American Assets Trust fourth quarter 2013 earnings conference call. Joining me on the call are Ernest Rady, John Chamberlain and Bob Barton. These and other members of our management team are available to take your questions at the conclusion of our prepared remarks. Our fourth quarter 2013 supplemental disclosure package provides a significant amount of valuable information with respect to the company’s operating and financial performance. The document is currently available on our website. Certain matters discussed on this call maybe deemed to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include any annualized or projected information as well as statements referring to expected or anticipated events or results. Although we believe the expectations reflected in such forward-looking statements are based on reasonable assumptions, our future operations and our actual performance may differ materially from the information contained in our forward-looking statements and we can give no assurance that these expectations will be attained. Risks inherent in these assumptions include but are not limited to future economic conditions including interest rates, real estates conditions and the risks in costs of construction. The earnings release and supplemental reporting package that we issued yesterday, our annual report filed on Form 10-K and our financial disclosure documents provide a more in-depth discussion of Risk Factors that may affect our financial conditions and results of operation. Additionally this call will contain non-GAAP financial information including funds from operations or FFO, earnings before interest, taxes, depreciation and amortization or EBITDA and net operating income or NOI. American Assets is providing this information as a supplement to information prepared in accordance with generally accepted accounting principals. Explanations of such non-GAAP items and reconciliations to net income are contained in the company's supplemental operating and financial data for the fourth quarter of 2013 furnished to the Securities and Exchange Commission. And this information is available on the company's website at www.americanassetstrust.com. I'll now turn the call over to our Executive Chairman, Ernest Rady to begin our discussion of fourth quarter results. Ernest?
Ernest Rady: Thanks Adam and good morning everyone. And thank you all very much for joining American Assets Trust fourth quarter 2013 earnings call. The performance of our premier portfolio of retail office and multifamily assets continued all year to provide solid and growing returns for our stockholders. Our FFO per share increased 5% and 14% year-over-year for the three months and year ended December 31, 2013 respectively compared to the same periods of 2012. Same-store NOI increased 4% and 6% respectively for the same periods as well. And abundance of office and retail leasing was accomplished including 44 leases totaling approximately 326,700 square feet. The Portland, Oregon, the Lloyd District development and Torrey Reserve developments are well underway and Toronto Point and San Diego is not far behind. We believe that these development projects have others in our pipeline should allow us to increase our NAV and be accretive to shareholders, redevelopments for many years to come. Our focus remains on creating long term value for our shareholders. We are not seeking to be the biggest, we just want to continue to be the best. Our multi asset flat strategy continues to demonstrate the diversity is additive to our ability to provide consistent growth, strong returns and value creation. I would be remiss, if I did not share with you my frustration of our stock continued to trade at a discount to NAV as opposed to our premium. We consider ourselves to be the best-in-class of all public REITs and yet after more than 3 years we still do not CAGR the valuation we deserve. And again on behalf of all of Western American Assets Trust we thank you for your confidence and your patience and allowing us to continue to manage our company and we look forward to your continued support. I would now like to turn it over to our President and CEO John Chamberlain. John, would you please take it from here?
John Chamberlain: Good morning and thank you Ernest. Overall conditions in our core markets Seattle, Portland, San Francisco, San Diego and Oahu continue to show significant signs of strength in all three of our asset classes. We expect this to continue into the foreseeable future. In addition, to the FFO and same store cash NOI performance Ernest just mentioned net income available to common stockholders was $4.7 million and $15.2 million for the three months and year-ended December 31, 2013 respectively or $0.11 and $0.38 per diluted share respectively. Bob will provide more details on our FFO and same store NOI shortly. In San Diego construction continues on the expansion of Torrey Reserve both on track and on budget. Building 6 is complete and substantially leased and all four other buildings are well into construction. Also in San Diego, at Carmel Mountain Plaza, lease negotiations were completed in December, with Saks Fifth Avenue for their Off 5th outlet platform for the space adjacent (inaudible). In Bellevue, Washington we’ve executed a lease with VMware a technology company whose largest shareholder is EMC for the top two floors of City Center totaling approximately 17,000 square feet. In Portland Oregon our [has below on eight] project is well underway. Approximately 88,000 accident free man hours have been expanded to-date and the free city block sub training garage is 51% complete. We are on track and on budget. The apartment vacancies for the Lloyd District has decreased further now down to approximately 2.6% the best in the Portland metropolitan statistical area. As you know [EGP’s] potential development and redevelopment opportunities are subject to market conditions and may not ultimately come to fruition. We will certainly keep you apprise. Our acquisition and venture efforts remain in full swing, however the pricing of assets equal to or greater in qualities in our existing portfolio will only provide returns on unacceptably low levels. Disciplined investing is a core metric at AAT. If it is dilutive to shareholder value we just won’t do it. Nonetheless we continue to evaluate growth opportunities and the recycling of capital for the probably that increased internal growth exist. I would now like to turn the presentation over to our Chief Financial Officer, Bob Barton, Bob.
Bob Barton: Thank you, John and good morning everyone. The books are closed for 2013. Last night we reported fourth quarter 2013 FFO of $0.40 per share. Net income attributable to common stock holders was $0.11 per share for the fourth quarter. Reported FFO for the full year was $1.54 per diluted share and net income attributable to common stock holders was $0.38 per share for the full year. The company’s board of directors has declared a dividend on its common stock of $0.22 per share for the quarterly period ending March 31, 2014. American Assets have a solid fourth quarter performance. Our high quality coastal West Coast diversified strategy continues to have stellar performance. Our retail portfolio ended the year at 97% on occupancy combined with the highest annualized base rents amongst our peers. That represents less than 100,000 square feet of vacancy in a 3 million plus square foot retail portfolio. Our office portfolio ended the year at approximately 90% occupancy as we expected. Total vacancy represents approximately 270,000 square feet of a 2.7 million square foot office portfolio. Approximately 50% of that 10% vacancy relates to our development projects at Torrey Reserve Campus in the Lloyd District portfolio due to tenants that have been impacted by ongoing construction activity. For this reason, we continue to exclude these two projects from same-store NOI metrics. The tax and treasury administration have first in Maine, importantly in Oregon, vacated late in the fourth quarter and represents approximately 25% of the 10% vacancy and is consistent with our expectations from our initial underwriting when we acquired the property. The remaining 25% of the 10% vacancy relates to general vacancy from smaller tenants. We continue to limit our office NOI to approximately 35% of our total NOI as part of our diversified coastal West Coast strategy. Let’s talk about same-store NOI for a moment. Same-store retail cash NOI for the quarter decreased by 2.1% in the fourth quarter. However, it increased by 4.3% for the year ending December 31, 2013. The fourth quarter year-over-year comparables were impacted by the Ross vacancy at Lomas Santa Fe and the Blast Fitness gym vacancy at Alamo Quarry. Same store office NOI was up 12.4% in the fourth quarter due to a significant reduction in rental abatements at City Center Bellevue in the current quarter. Same store multifamily NOI which comprises approximately 7% of our NOI was up 7% on a cash basis for the fourth quarter and up 14.2% for the year ended December 31, 2013. Higher year-over-year occupancy and higher rents are the main drivers of the same-store growth for the multifamily portfolio. Waikiki Beach Walk, our mixed-use property which represents approximately 12% of our NOI continues to outperform the robust same-store cash NOI growth of 7.7% for the fourth quarter and 11.9% for the year ending December 31, 2013. Same-store growth is being driven by significantly higher average daily rates for Embassy Suites in Waikiki. Turning to our results, fourth quarter FFO increased approximately 162,000 to $0.40 per FFO share compared to third quarter 2013 FFO of $0.39 per FFO share. The increase in quarterly FFO was mostly attributable to year-end percentage rents in our retail portfolio and a decrease in interest expense from the refinancing of the Alamo Quarry secured debt. These increases were offset with the decrease in our operating income at our Embassy Suites Hotel in Waikiki, Hawaii due to the seasonality of the hotel. Now, as we looked at our balance sheet and liquidity at the end of the fourth quarter, we are well positioned to continue to execute on our strategy of selectively acquiring or developing accretive, high quality assets in our core coastal West Coast markets. At the end of the fourth quarter, we had approximately $299 million in liquidity comprised of $49 million of cash and cash equivalents and $250 million of availability under line of credit. At the end of the fourth quarter, our total debt to total capitalization was 36.5%. We are focused on keeping our leverage ratio at 45% or less and positioning our balance sheet, so we have the ability to approach the investment grade market in 2015. As I have mentioned before, we do have an internal road map to approach investment grade market in 2015. In order to do so, we recognize that we need to get our secured debt ratio less than 30% by 2015. We took the first step in this process by paying off the Alamo Quarry secured debt at a fixed rate of 5.67% early in the fourth quarter, with our line of credit. The next step that we took was to convert our line of credit to a fully unsecured basis in the first week of January 2014, while at the same time further reducing borrowing rates and fee structure associated with the line of credit to current market terms. Concurrent with the recast and modification of our line of credit in the first week of January 2014, we added a $100 million unsecured term loan which we used to pay down the line of credit outstanding at year-end and then entered into a five year interest rate swap agreement which put our all in borrowing cost on the term loan at approximately 3.08%. We also extended out the maturity of both the line of credit and term loan to January 2019 including extension options. Looking at our debt maturity schedule in our supplemental document on page 19, our next secured debt maturity of approximately $141 million is on November 1, 2014. Our plan at this point in time would be to either use our accordion feature on our line of credit as a bridge loan until we hit our debut bond offering in 2015 or possibly enter into another unsecured term-loan all of which are subject to economic market conditions at that time. We always have several ways to go and our focused on conservative, disciplined balance sheet management. We’re not only focused on long-term NAV growth for our shareholders but also on positive same store NOI growth on a relative basis which we believe will ultimately translate into organic FFO growth. Lastly we have maintained our 2014 guidance range of a $1.54 to a $1.62 but we’ve modified our same-store growth as follows. We are still anticipating a 2% decrease in 2014 same-store retail cash NOI. The decrease in same-store retail cash NOI is due to the vacancy of Foodland at Waikele which we have previously talked about and which expired on January 25, 2014. We see significant growth in our retail portfolio in the coming years as in-place rents are approximately 7% below market and several of our retail properties range from 11% to 20% below market rents. We are also anticipating a 2% increase in same-store office NOI, which is down from our previous guidance of 4%. The reduction in our same-store office cash NOI is from reduced renewal assumptions at Solana Beach Corporate Centre and reduced decorative lease up assumptions at SBC -- at Solana Beach Corporate Centre and One Beach. Our office portfolio continues to be approximately 10% plus below market on the weighted average portfolio basis. Our properties in San Francisco are over 20% below market versus in-place and City Center Bellevue in Seattle is approximately 17% plus below market versus in-place rents. We have increased our expectations for our office properties under development due to the $1.6 million lease termination income received at Torrey Reserve from McDermott Will & Emery. We are still anticipating a 2% increase in same-store multi-family cash NOI. We are also anticipating a 4% increase in same-store mixed use cash NOI which is expected to add $0.02 per share to FFO. This is actually a 4% increase after our plans to take each tower of the Embassy Suites Hotel offline for approximately 8 weeks to complete a $10 million to $12 million remodel during 2014. This is something that we expect to do approximately every 7 years to maintain a consistently high quality guest experience at the Embassy Suites Hotel. We are anticipating a reduction in interest expense of approximately $3.5 million from higher capitalized interest from our ongoing developments, and lower interest cost on the LMO debt which is refinanced in an unsecured five year term-loan at 3.08% and lower interest cost on 2 months from the repayment of the Waikele debt, which matures on November 1, 2014. Additionally, our 2014 operational capital expenditures are expected to be in the range of $36 million to $40 million, of this amount approximately $10 million to $12 million represents our 2014 renovation of the Embassy Suites Hotel, which I discussed a moment ago. The remaining operational CapEx is expected to be approximately $26 million to $28 million. Our AFFO or FAD will be in a range of approximately $0.95 to $1.01 per share factoring in the Embassy Suites’ renovation or in a range of approximately $1.15 to $1.22 per share excluding the Embassy Suites’ renovation. The reason I break this out is because of the formation of American Assets Trust at the IPO three years ago. $10 million of -- where cash working capital held by the [YCTB] entities was transferred into American Assets Trust pursuant to the formation transaction documents. So this $10 million was not generated from continuing operations of American Assets Trust. Although not considered to be restricted cash, we did set these funds aside internally for the upcoming renovation of the Embassy. So the way I think about this is that this renovation was already paid for the type of the IPO. A couple of last points regarding 2014 guidance for those that are updating their models on AAT, we reported FFO per share $0.40 in the fourth quarter of 2013. However we are losing two major tenants, (inaudible) regional shopping center in Hawaii which is approximately 675,000 a quarter, and the tax and treasury at our first to main building Portland, Oregon, which is approximately 595,000 a quarter. Compared with our fourth quarter 2013 results, we expect the first quarter to be down approximately $0.02 per FFO share from both of these vacancies. While we anticipated this roll down in Q1 and in our guidance, we are also anticipating the ramp up towards the end of June from [Saks Ave Fifth] at Carmel Mountain Plaza in San Diego and VMware who has leased the top two floors of City Center Bellevue, Washington. In regards to the full year guidance it shows that the 2014 full year consensus is $1.60 compared with our 2014 midpoint of $1.58 per FFO share, which excludes acquisitions. The difference is primarily assumed acquisitions by various analysts. Excluding the acquisitions modeled by various analysts, the 2014 consensus would be $1.59 compared with our midpoint of $1.58, which is more in line with our 2014 guidance. Not to say that we won’t find acquisitions that meet our internal underwriting requirements, but for purposes of issuing guidance our guidance excludes any impact of additional acquisitions, dispositions, equity issuances or repurchases, debt financing to repayments other than Waikele in November 2014. We will continue our best to be as transparent as possible and share with you how we are thinking about our quarterly numbers. We are well prepared with a strong balance sheet to capitalize and execute on opportunities that we believe will present themselves over the coming quarters. Operator I will now turn the call over to you for questions.
Operator: (Operator Instructions). And your first question comes from the line of Todd Thomas of KeyBanc Capital Markets.
Todd Thomas - KeyBanc Capital Markets: Hi good morning. Just first question, I was just curious about the stock issuance in the quarter. Ernest, at the outset of the call, you’ve talked about your frustration regarding where the stock is trading relative to your internal NAV and you have a lot of cash on the balance sheet, it was a very small amount of issuance. I'm just curious what the thought process was there?
Ernest Rady: Todd, what we've got to look at is the cost of issuing the stock relative to our existing stockholders and the opportunities we have to invest at. The whole mode behind everything we do is to be accretive to net asset value, add long-term value for the stockholders and increase our cash flow. And that's what we study in terms of looking at every transaction both stock issuance and acquisition. It's not just one alone; you have to look at both in concert with each other. That's a great question, Todd. Thank you.
Todd Thomas - KeyBanc Capital Markets: Okay. And then well I guess, following up on that I know in the past you have presented and published your own internal NAV estimate. Is that something that you plan to do again this spring? What would the timing of that be generally?
Ernest Rady: Bob do you want to answer that?
Bob Barton: Sure. Hi, good morning Todd. Again what we've done historically is that we generally have a meeting with GreenStreet to go over our net asset value and just compare [notes]. We intend to do that this year. And we will file 8-K on that and publish that sometime in the spring.
Ernest Rady: I might add to Bob's estimate of NAV has also been a source of frustration for me because he is a very conservative estimator, we’ll live with it.
Todd Thomas - KeyBanc Capital Markets: Okay. And then the two vacancies that you identified in the retail portfolio, so the move out of Ross at Lomas Santa Fe and the Blast Fitness at Alamo Quarry, any updates there in terms of timing to backfill those spaces? And can you give us a sense of where new rents are maybe relative to the prior rental rates?
Ernest Rady: You want to take that? Okay go ahead, John.
Chris Sullivan: Todd, this is Chris Sullivan, I am the Vice President of Retail Leasing. The Lomas Santa Fe probably expect to have that space we’re in lease negotiations with tenant now and we’d probably have that space based on timing mid early next year on their window to open. Rents, I don’t want to speculate quite yet, but we’ll be on rents, but we should be in pretty good shape on rents compared to market. The other space where Blast Fitness moved out at Alamo Quarry is a 26,000 square foot two level space. We have a couple of very active seeders on that and I expect that we should be able to get that space reoccupied potentially by the end of the year, realize that would be big box tenants as a process when it takes to open. So it’s a little longer than doing a shop deal. And of course the Ross Stores has been particularly frustrating because of litigation with the tenants who have claims with, have presented us from leasing it, but we’ll workout.
John Chamberlain: Todd, for purposes of guidance we’ve left Ross vacant all the year of 2014.
Todd Thomas - KeyBanc Capital Markets: Okay. That’s helpful. And then just last question for Bob, the Del and Waikele Center you talked about your potential plans to take that out either with a new term loan or maybe using the line of credit. When is that open for prepayment? It’s a November maturity, but can you prepay that earlier?
Bob Barton: Yes, it’s a good question. That’s our only CMBS that does not have an early prepayment. So that’s a (inaudible) on November 1st.
Todd Thomas - KeyBanc Capital Markets: Okay, great. All right thank you.
Ernest Rady: Thank you, Todd.
John Chamberlain: Thank you.
Operator: Your next question comes from the line of Paul Morgan of MLB.
Unidentified Analyst: Hi, good morning. Just maybe an insight or color now that you’ve freed up the space that first to name, I know you’re kind of laying to hold more than (inaudible) space. What’s traffic like given you are feeling, I know you’ve let it out for the full year, but I mean what’s kind of your lead on traffic on this potential leasing space?
Jim Durfey: This is Jim Durfey, Vice President of Office Leasing and I think I will answer that question for you. We got about 70,000 square feet that was given back by the [IRS] and as might be assumed that about 70,000 sub-tenants in the markets, so we appeared our market refers to looking for 10,000 to 20,000 per tenants 20,000 being a hope for. Our activity has picked up, we had a broker event last months and had a number of brokers and tenants to fill the space, but not got the new space since building was open. So we have a very positive broker there. But we have seen a number of showing, we are actually showing last week it’s a matter of fact and we will continue to show the space and are very optimistic that we will roll back all the space.
Ernest Rady: The IRS would not let us into the space until they vacate, I think they must have had some cash collections there, they thought we might avail ourselves. So until they moved out we didn’t have access to the space.
Unidentified Analyst: And so if I think about the range of your FFO guidance for the year and it sounds like suite land are the first to [name] and I think you said Ross were all basically assumed vacant for the whole year. Is that towards the top-end bottom of your range and if so I am kind of wondering what really (inaudible) top to the bottom, if those well kind of soon out to ‘15?
Bob Barton: Well Bob here, it’s a good questions. We have seen a roll down a little bit in the first half of the year and then ramp back up in the second part of the year and then ramp backup in the second part of the year. And that will get us probably to the mid-point plus.
Unidentified Analyst: But the ramping up isn’t any of the big day, it’s actually this other small day. It’s not from your thought worsening is that….?
John Chamberlain: Correct. The ramping up really relates to Saks’ office at Carmel Mountain Plaza and VMware towards the end of June.
Unidentified Analyst: Okay. Great and then just my last question, John you mentioned, pricing in the market very difficult to find the value enhancing deal. But then you also eluded to looking at recycling capital. I mean do you have any color to buy them out, any highlight to see you may be slight above of a stabilized asset kind of rising on where pricing is and looking at something where there is maybe more work to do as internal growth potential?
John Chamberlain: Well, as we've said before a disposition is motivated by an acquisition, we are not looking to shrink the size of the company. So with any disposition that’s used to move forward with we have that place to go with that money just to put it to work and hopefully create a higher internal growth opportunity. So we continue to evaluate. We have our hands tied on a couple of these properties that we are considering selling, because of either prepayments on loans, the fees and things like that. But at the same time, finding acquisitions that make sense are very few and far between. So we’re not looking to sell something for the sake of selling it, we’re looking to sell something for the opportunity as increasing internal growth.
Unidentified Analyst: Is there any property type where you are seeing a little bit of more opportunities?
John Chamberlain: Most active sector is probably office, institutional office and that’s something that we really have put a lid on in terms the percentage of NOI. So it doesn’t mean that we wouldn’t acquire an office but it would likely mean that we would concurrently sale an office property to do so if we found something that we felt was equal or higher quality than what we currently own. So there is a lot of opportunity in office. There has been a lot of transactions that have occurred lately multifamily acquisitions are probably the lowest of all cap rates. And close to that are high quality retail assets. So we’re not going to do something that’s dilutive and we’re looking at cap rates that range between 3% and high 4% rates it just doesn’t make any sense.
Unidentified Analyst: Okay, great. Thank you.
Ernest Rady: Thank you.
Operator: And your next question comes from the line of [Blaine Heck] of Wells Fargo Securities.
Unidentified Analyst: Hey guys good morning.
Ernest Rady: Good morning.
Unidentified Analyst: So looking at the office cash same store NOI recorded this quarter up 12.5%. You guys said some of that was due to preramp rolling up at City Center Bellevue. Can you give us maybe the magnitude of that impact from that pre rent expiring during the quarter and maybe how long should we expect that to be kind of a win that you’ve been through office cash same store.
Bob Barton: Yes hi Blaine, Bob here. It is a good question. The difference really is about $1.1 million and what that represents is the free rent that burned off at the end of the first quarter of 2013. So in 4Q, 2012 we had about $1.1 million of rent abatements. And then that burned off in the first half of January ‘13. And so when you compare Q4, 12 with Q4, 13 that's the difference. That's about $1.1 million, all of that rent abatement has burned off.
Unidentified Analyst: Okay, so that won't be kind of helpful going forward for the office in the first quarter?
Bob Barton: Correct.
Unidentified Analyst: Okay. So, switching to retail, I know a backfill of the Foodland space in Waikele isn't expected in guidance for 2014, but maybe can you give some color on what discussions are like there and whether you guys are going forward to I think you were talking about dividing that space into 20,000 square foot boxes.
Chris Sullivan: Hey Blaine, it's Chris Sullivan. We're getting okay activity looking at it, it's not as if this is something new, we've been working on this for a while. So, I would say on an activity base it’s done a grade between 1 and 10, we are probably around the 5 and 6 of the options of splitting it into two releasing it as a whole space. But keep in mind the space right now is occupied. We've a subtenant in there, with the Inspired Church and Foodland has also had some storage and a piece of a space. So, it's occupied, get about I think about 51,000 bucks a month on it. So, it's not as if just sitting there is a completely dark space. We are getting a little bit of pickup from activity, we recently opened our UFC Gym that opened last week, it's just doing dynamite in respects to their traffic and that I expect is going to help truly ignited that end of the center. So I am hoping that’s going to help pick up the leasing activity on there.
Unidentified Analyst: Okay, great. Thanks.
Chris Sullivan: Great question. Thank you.
Operator: And your next question comes from the line of Vance Edelson of Morgan Stanley.
Vance Edelson - Morgan Stanley: Terrific. Good morning guys. Any update on the expected yields for the two major development projects based on either subcontractor costs being higher or lower than expected, or in the case of Torrey Reserve base on the quick or pre-leasing activity?
John Chamberlain: Yes. We’ve commented on that on the last call. We expect to update our guidance on that at the end of this quarter. We have commenced construction on the buildings that are on the other side of the street from where our office is and we’ll have a clearer picture of the lease up of the buildings by then. So you can expect an update on Torrey Reserve on the next call. And in terms of the Lloyd District, we’re still in the process of buying out contracts for the remaining portions of the project and that process won’t be completed until mid second quarter of this year. So we won’t be updating our guidance on returns for that project until probably the conference call after the second quarter. So that should give you an idea of timing, but what I can share with you is we expect things to be better than we projected originally. Lease up has progressed far in advance of what we expected and forecast and things in the Lloyd District are getting better in terms of the market conditions and everything else that is going out of there, so we expect a positive update.
Vance Edelson - Morgan Stanley: Okay, good to hear. And then John another question for you on evaluating the growth opportunities out there. It sounds like you remain very disciplined and you mentioned a little on the cap rates by asset class, could you provide a little more color directionally if you can by asset class, has there been any noticeable move over the past half year?
John Chamberlain: Well, for the properties that we consider that we are focused on and that is coastal properties in the specific markets that we are in, we have seen a CapEx rates come down. There are couple of assets that are either under contract or recently closed that based on our numbers not necessarily the sellers numbers, but based on our numbers that started with three and four cap rates. So it got to a five and we figured that was the bottom and it continued to compress. So again as I mentioned, multi-family is the lowest. Retail is right behind it. We were looking at a retail project in the Santa Monica area that is going to trade at something [south of four] and never seen that before. Our office properties, institutional office properties are hanging somewhere between a 5 and 5.5, so that’s your range. It’s for top quality properties, for AAA plus properties, the cap rates are standing.
Ernest Rady: If you took those conservative cap rates and extrapolated in our platinum (inaudible) portfolio, you would come up with a number of that confirms my earlier statement.
Vance Edelson - Morgan Stanley: Okay got it. Thanks Ernest, and then you talked about the ongoing one for the time renovation and like a key. Can you tells without the RevPAR and in particular did you get any sort of holiday or seasonal lift that supported 4Q results and to the renovation is playing into potentially much higher room rates years down the road?
Bob Barton: Yes, during the last two weeks of, actually last ten days of the Embassy of the fourth quarter, we went over on an ADR basis, on an average daily rate basis, we went over 500. So we were selling those rooms for were over 500 bucks a night. Our RevPAR has continued to increase and our ADR has continued to increase. What our revenue strategy has been, is that which we changed during this last year, early in this last year was to focus our ADR at 300 plus. And so that's what we continue to do and as we went through that, it translated into higher RevPAR and which continues to produce strong same-store mixed-use results. I mean if you look at where we ended up on a RevPAR it was about 240, 250 on RevPAR that used to be our ADR. So we've dramatically increased over the last year and year and half, in terms of where that’s headed.
Ernest Rady: And I think I always I say that if you look out a decade that property will continue to improve, it is an exceptional location. It’s just an exceptional property. I think we’ll look back ten years from now and say, oh my goodness how lucky we are to have that property it’s an exceptional property.
Vance Edelson - Morgan Stanley: Okay, that’s great. Thanks guys.
Ernest Rady: Thank you.
Bob Barton: Thank you.
Operator: Your next question comes from the line of Jason White of Green Street Advisors.
Jason White - Green Street Advisors: Hey guys just quick question on the Annex at The Landmark I know your master lease has options through 26. Can you give us idea of the risk associated with that being perpetual versus perhaps that ending at some point in the next decade?
John Chamberlain: The Annex lease is a non-economic deal for us. What we pay in rent is a function of what we collect in rent. So net to us is a couple of percent, we have had discussions with Paramount with respect to buying that lease, buying the fee and those discussions haven’t gone anywhere. But in terms of net economics it’s practically zero.
Jason White - Green Street Advisors: Okay, that helps. And then can you talk the Saks box it’s in sometime that that’s in dark now that you have some traction there, can you help us understand a little bit why it was dark just along with the lack of tenant interest was it trying to find the right retailer, just seem like that was great space it could have been a long time ago but wasn’t by sure what the details were surrounding it.
John Chamberlain: Well, if you followed Saks you know that they were recently acquired. So in the middle of discussion with Saks things got put on hold and then they resumed once the dust settled. So it was a delay, we chose to hang with them because of the quality of the tenancy and we thought that and we believe that having Nordstrom Rack and office next to each other in a shopping center is a absolute home run. So, it definitely took longer than we expected, but it was for reasons outside of our control, had nothing to do with the premises for the tenants interest, it has to do with their internal challenges. Chris would you like to add to that?
Chris Sullivan: Yes, the other thing I'd add to that Jason, it's Chris Sullivan, is that when you look at all the boxes that are in the Carmel Mountain trade area and you are leasing a 40,000 foot space that bench starts to get pretty short and we have several 40,000 tenants in our center, when you look we have Sports Authority in there, you have Nordstrom Rack in there. And so these big boxes are filling bar between Rack or with Saks just adding to the fashion of taken drafting off Nordstrom Rack. Now I'm getting the calls which I expected from other soft good merchants that I'm hopeful of pull some out in North County Fair and continuing to increase that tenant mix. So, it was part of the strategy to just make it a better property and hold that a little bit for the right tenant.
Ernest Rady: The evolution of that property has been just amazing combined with the Sports. So we have all the attractions that a center like that should have. And that is going to be key [point] property in that neighborhood for decades.
Jason White - Green Street Advisors: Okay, thanks. Then last question, have you guys been closed on any acquisitions in ‘13 as you underwrote them? Have any come down to you got to check on our final round, and maybe how far off were you relative to what you were willing to pay versus what they ultimately transacted at?
Ernest Rady: We had or have in arraying on quite a few possibilities and ultimately the properties traded at levels that I would say were prices about 10% higher than we were willing to pay, I mean it wasn’t a few dollars, it was a lot of dollars. So, we’re not a pension fund, and 3% and 4% returns don’t make any sense for us. So…
Bob Barton: The other thing I’d add to that Jason is that as you’ve heard me mention before, it’s not the going in cap rate, it’s the growth. So, there was one great shopping center we looked at, we looked at several. And we made a bid on it and it started at a 5% cap, 4.9%, or up 5.1% cap rate going in, but the growth was literally 1% over a decade. So why would I want to do that to my shareholders and make a dilutive acquisition just for the sake of buying it. So we’re very disciplined like John says. But if it’s out there, we’re looking at it and we had our hat and a ring in several of those opportunities.
Jason White - Green Street Advisors: Okay. Thanks guys.
Ernest Rady: Discipline is a hallmark of the company. We’ve been through this before when there has been prices that are just [non-centrical] and we’ve passed and it’s been the best thing to do in the short run, perhaps it’s not as pleasing to the years, but in long run it creates value and wealth.
Jason White - Green Street Advisors: Thanks Ernest.
Ernest Rady: Thank you.
Operator: Your next question comes from the line of Rich Moore of RBC Capital Markets.
John Chamberlain: Good morning, Rich.
Rich Moore - RBC Capital Markets: Hi good morning. Yes, good morning guys. A couple of things for you, first Bob, I am curious the recast line, the total size seemed sort of small to me; I mean it’s the same size it was, but it seemed sort of small given what you’re going to have coming due this year and next year et cetera. And I am assuming most of the time you’re going to be unencumbering those assets as they come due. So, I am curious, I guess why is the line balance or the line size, the capacity so small?
Bob Barton: Well from my perspective, I don’t think it is. I mean it doesn’t make sense to pay for more than what I really need. I know with the capacity that I have now I can go through ‘17 without even tapping into the equity market or increasing the line. So from my perspective, you have a $250 million unsecured line. As of today, we have zero outstanding on it. We have that $100 million unsecured term loan, which is part of the facility and then we also have an accordion feature which is for another $250 million that takes me up to a total of $600 million in capacity. So I think that we’re well positioned. And if you look at it, we only need $141 million to pay off Waikele November 1st. And then at that point in time going into the first six months of 2015, we will be close to be being in a position for a debut bond offering subject to market and economic conditions at that time.
Rich Moore - RBC Capital Markets: Okay, I got you. I was thinking that to do like an index eligible bond kind of thing, you need 250 plus probably in total size for the bond issuance. But it sounds like with the accordion feature, probably good. Okay, thank you on that. And then I am curious to, if you could, if you could explain to me on pages 11 and 12, when you are looking at NOI for -- same-store NOI for the portfolio on a with and without redevelopment, what all do you have in with redevelopment for office category?
Bob Barton: Yes, the only difference is Lloyd and Torrey Reserve. So, on page 11, it excludes the Lloyd and Torrey Reserve redevelopments.
Rich Moore - RBC Capital Markets: Okay. And you believe those are now I guess through completion of the projects, is that the idea?
John Chamberlain: That's the idea because both projects have been impacted significantly by the construction activity. We've had to tear up the parking lots and we’ve lost some tenants because of the construction going on as expected. So in order to get same-store comparability, we thought it was best to break that out so you can see during redevelopment and with and without redevelopment and also to make that easier because on the Torrey Reserve campus and the Lloyd campus you have several buildings. So while of the six buildings that we have right now, they are operating, but the expansion are going to come online, the expansion buildings which is our best another five will come online at different times during the development. So we thought it would be easier for investors, analysts to follow the increase in that same-store NOI on the redevelopment properties on the separate page.
Rich Moore - RBC Capital Markets: Okay, good. Thank you. And then G&A guidance, could you remind us what it is for 2014 and if that's changed at all after the last quarter?
Bob Barton: Yes, it hasn’t changed at all. And I believe we had it just here under $18 million this year.
Rich Moore - RBC Capital Markets: Okay. All right good thanks. And then the last guys, the Lloyd Center, the mall itself that has now lost (inaudible) have you got any thoughts about that, does that concern you or do you have any I guess reaction to what’s going on over the mall itself?
John Chamberlain: Well, the mall trading hands into Cyprus Equities was positive. They are experts at repositioning and redeveloping those kinds of properties. The closing of the Nordstrom to us really came as a surprise especially in that they spent about $10 million on a remodel of their interior not too long ago. So we’re still trying to gather some information as to why and what happened and was it expected, that’s the question I have out to the people at Cyprus right now. Whether or not they knew that Nordstrom was going to close when they acquired the property? And if so, what their thoughts and planning are for that space? So when I know I’ll let you know. I think the impression I get is that it is not going to have bearing on them moving forward with their redevelopment plans. And keep in mind the store has closed there is still lease in place. So from an income perspective, the landlord is not impacted. What burned off was their operating covenant. So we will keep you informed as we obtain additional information we’ll pass it along.
Rich Moore - RBC Capital Markets: Thank you.
Ernest Rady: It’s a very active area though and the closing of one store certainly is not anything that we prefer, but on the other hand there is lots of activity in the area. And I think I read that they don’t close that store till January ‘15 I think it’s opened to rent, but they have given notice but I am not sure that’s what I read, it could be right.
Rich Moore - RBC Capital Markets: Okay Ernest, thank you. And so you guys haven't heard though what they might do for replacement yet, John is that what you were saying?
John Chamberlain: Yes, we are seeking that information kind of more at a 50,000 foot level. The first question I'd like to have answered is, did they know they were going to close when they acquired the center? I'm very interested in hearing the answer to that. So, we'll see, I mean we'll -- as I obtain additional information I'll pass it on to you.
Ernest Rady: But talking about discipline, Rich we looked at that mall several times. It just didn't fit the quality of the portfolio that we have. So…
John Chamberlain: And we're not in a mall business.
Ernest Rady: We wish them every success.
Rich Moore - RBC Capital Markets: Great. Thank you, guys. I appreciate it.
John Chamberlain: Thank you.
Ernest Rady: Thank you for your interest Rich.
Operator: (Operator Instructions). And your next question comes from the line of Craig Smith of Bank of America.
Unidentified Analyst: Good morning. This is actually Katy on for Craig. Just a question on leasing spread. Given the weakness in 4Q, we're just wondering how we should be thinking about them for 2014 and what might cause them to start improving?
Bob Barton: Katy, this is Bob. Are you talking about the retail?
Unidentified Analyst: Yes, the retail releasing.
Bob Barton: So on retail really what's -- from my perspective, what's going on is the non-comparables. You have some significant activity going through there in the non-comparables, because if you look at on page 24, you have a total of 21 leases and 14 are comparable, 7 are not. And of the 7 you have probably 81% of the square feet and you have significant amount of income coming in down the road. A big portion of that is Saks Ave Fifth coming in. So I think coming down the road though on the comparable leases is that I think the key is really to look at where we are compared to, where the market is compared to our in place. And as I mentioned in my comments, on both the retail and office our in-place is below where we see the current market rents. So we think that as opportunities arise in our portfolio, as vacancies exist, we think that those are really opportunities to either renew or release at higher rates.
Unidentified Analyst: Okay, great. So you would expect this to move into positive territory in 2014?
Bob Barton: Yes eventually quarter-by-quarter.
Unidentified Analyst: Okay thanks.
Ernest Rady: Thank Katy.
Operator: With no additional questions in the queue, I’d like to hand the call back over to Mr. Ernest Rady, Executive Chairman for closing remarks.
Ernest Rady: Again I want to thank you all for your interest. I can assure you that this management team is devoted to enhancing shareholder wealth of building our FFO building our NAV. We love what we do. We think we do what, as well as anybody and we’re going to continue those efforts to the maximum that we can. Thank you for your confidence.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. And have a wonderful day.